Moran Weizer: So good morning, everyone. Firstly, I want to thank you all for attending today. It's been an eventful and exciting couple of weeks for Playtech. On to Slide 2. I'll begin with the highlights before handing over to Chris McGinnis, our CFO, who will take you through the financials and the outlook. I'll then update you on our progress against our strategic priorities. Turning now to Slide 3. I'm pleased to report an excellent financial performance in H1 2024, delivering adjusted EBITDA of EUR243 million up 11% and ahead of expectations as we flagged in our trading statement issued a couple of weeks ago. This strong performance was driven by the B2B division, which saw adjusted EBITDA growth of 38% with the Americas, the standout region. Given the performance in the first six months of 2024, the B2B segment is ahead of schedule to be within the medium-term adjusted EBITDA target range of EUR200 million to EUR250 million in 2024 set just 18 months ago. A couple of weeks ago, we made two announcements that will fundamentally transform the future of the group. Starting with Caliplay, we were delighted to finalize the terms of our revised strategic agreement that marks the beginning of an exciting new chapter for both parties and sets the foundation for growth in both domestic and international markets. Turning to Snaitech. We reached a definitive agreement for the sale of this business to Flutter for a total enterprise value of EUR2.3 billion realizing significant shareholder return with EUR1.27 billion to EUR1.8 billion expected to be returned. The sale leaves Playtech returning to its roots as a highly focused B2B business, where we have positioned ourselves for significant growth in highly attractive markets such as the US and Brazil and casino and live casino from a product perspective. I will now hand over to Chris who will take you through the financial performance and outlook.
Chris McGinnis: Thanks, Mor. On Slide 5, I'll now talk through an excellent financial performance in H1. Group revenue grew 5% reaching EUR907 million with EBITDA increasing by 11% to EUR243 million ahead of expectations set at the start of the year. As you will have seen, we reached a revised agreement with Caliplay earlier this month and have received over EUR150 million of the amounts owed to us. However, as this was post period end, cash generation in H1 was impacted with adjusted operating cash flow of EUR151 million. Our balance sheet remained robust with leverage declining to 0.5 times down from 0.7 a year ago. On a pro forma basis, adjusting for cash received from Caliplay post period end, leverage would have been further reduced to 0.2 times. Moving to Slide 6. The excellent performance in H1 was driven by strong execution within B2B. B2B revenues were up 14%, driven by regulated markets. Adjusted EBITDA margin within B2B expanded 510 basis points, a strong revenue growth combined with tight cost control and high operating leverage resulted in 38% growth in adjusted EBITDA in the first half of 2024. B2B free cash flow generation, excluding the working capital impact of Caliplay improved significantly in the period due to strong earnings growth. In B2C, revenues remained flat and adjusted EBITDA declined 6% compared to last year as good growth in wagers against a tough comparative was offset by customer-friendly sporting results. Turning to Slide 7. Looking at the B2B division in more detail, the performance in H1 was very strong with revenue reaching EUR382 million, representing 12% growth on a constant currency basis. Within the division, regulated markets continue to see strong growth with revenue growth of 16% in constant currency. The Americas remains the standout region, growing 37% in constant currency driven by the continued success of Caliplay in Mexico and an increasing contribution from Wplay in Colombia. The US and Canada are showing great progress and becoming a greater contributor to growth in the division with revenue up more than 200% in H1, albeit from a small base as we continue to execute our strategy there. Looking at Europe, revenues remained flat at constant currency. The strong growth in Spain, Italy and Ireland was offset by declines in Greece due to loss of a customer and Poland due to changes in a contract that had a neutral impact to EBITDA. The UK business saw revenue growth of 2% at constant currency with growth across multiple licenses partly offset by a decline in revenue from maintained due to the impact of insourcing their SSBTs. Finally, in unregulated markets, revenue increased 1% at constant currency, with growth in Brazil partly offset by a decline in Asia. Now on to Slide 8. I will talk you through the highlights from the B2C division. Snaitech saw revenue declined 1% in H1 with adjusted EBITDA falling 5%. This overall performance was impacted by customer-friendly sporting results, particularly at the start of the year, although the underlying performance in both retail and online was strong with growth in wagers. HAPPYBET saw revenues fall 7% into H1, driven by the rationalization of retail sites in Germany and Austria. Given the lack of scale and difficulty in addressing this, the decision has been taken to close the Austrian business, which will take effect in H2. As a result, a provision of EUR2 million has been booked in H1, which is included in adjusted EBITDA. Elsewhere, Sun Bingo and Other B2C saw 17% revenue growth, driven by the launch of an additional brand in H2 of 2023. Adjusted EBITDA declined 18% due to increased marketing spend in H1 to fuel growth. Turning now to Slide 9. We will look at the net debt bridge. Despite not receiving any cash from Caliplay during the period, leverage still reduced from 0.7 at the end of 2023 to 0.5 at the end of H1. Adjusting for the cash received from Caliplay earlier this month, leverage would have further reduced to 0.2 times. Part of the reason for the strong cash generation in the period has been the prioritization of prudent cash management policies, which will continue to be an area of focus given the expected structure of the group without Snaitech and the current cash generation profile of the B2B division. Finally, we intend to repay the EUR350 million bond due in March 2026 with part of the proceeds received from the sale of Snaitech leaving just a EUR300 million bond due in June 2028 as we look to ensure that Playtech has an appropriate balance sheet as it continues to execute its strategy. On to Slide 10. As you may recall, at the 2023 full year results, I outlined three areas of focus for 2024. We're continuing to make progress on each of these, although there is more work to be done. First, I want to highlight the notable improvement in cash generation within B2B, where free cash flow has more than doubled compared to a year ago when adjusting for the Caliplay working capital swing. We will continue to ensure we are focused on this metric as a company going forward. Secondly, cost efficiency has been an area of focus for me since I became CFO. In H1, we remain prudent with cost management, which partly contributed to the 510 basis point EBITDA margin expansion. We made progress in evaluating underperforming businesses and more importantly are acting on it. We decided to close the Austrian segment of HAPPYBET as it lacks the necessary scale to be a viable business. Going forward, given the proposed sale of Snaitech, we need to ensure that B2B has the appropriate cost base as a standalone business. Finally, I outlined that I wanted to provide additional disclosures to improve transparency. I've continued on this path by giving additional disclosure on Caliplay's financial performance. Going forward, I will continue to evaluate the level of B2B disclosure, particularly in light of the group's proposed changes -- of the proposed changes to the group. We expect CapEx, including capitalized development to be approximately EUR170 million in 2024. While there is no change in guidance for the effective tax rate of the group at circa 30% for the year. On to Slide 11. We are delighted with the signing of a revised agreement with Caliplay that creates an exciting new chapter for both parties. Together, we have achieved hugely impressive progress to date as reflected in the chart on the left-hand side. More importantly, we believe that with a new agreement in place, we will be able to achieve even greater success going forward. Mor will later talk you through the commercial and strategic elements of the revised agreement and I will now walk you through the main terms and the respective financial implications. Playtech will now hold a 30.8% equity ownership in Cali Interactive with the right to receive dividends from this new US incorporated company. We will not be entitled to the general services fee starting in 2025 and we will stop providing the services to which this relates. Caliplay has agreed to pay us additional fees of US$140 million phased over a four-year period. We estimate the overall impact of the revised agreement will result in the EUR30 million to EUR40 million cash headwind in 2025 compared to 2024, which I will go into in more detail on the next slide. This impact is before the expected growth in the remainder of the B2B business in '25. From 2025 onwards, we expect our cash flows from Caliplay to grow. In terms of the outstanding working capital balance, we are pleased to confirm that more than EUR150 million has been received, which is more than 80% of the previously unpaid balance with 33 million to be received on closing of the revised agreement. On to Slide 12, where I'll give more details around the accounting and cash impact of the new deal using 2023 as the base year given this is the last full year of reported results. In terms of the impact of revenue, the software and services element takes into account a slightly lower take rates for the new agreement, but excludes the potential impact of additional flexibility afforded to Caliplay under the new agreement, in addition to our revenue protection measures. The payments of US$140 million that will be paid in cash over a four-year period are from an accounting perspective expected to be amortized and recognized in revenue on a straight-line basis over the eight-year life of the software and services contract. Under the new agreement, the general services field will no longer be collected and direct costs associated with Caliplay will also reduce. Finally, as a 30.8% direct equity holder in Cali Interactive, we intend to account for our equity ownership as income from associates, which will be included within adjusted EBITDA. In terms of the cash impact, we will receive dividends from Cali Interactive based on an agreed upon dividend policy. In addition, on this slide, you can see the headline financials for the Caliplay business, which should be helpful in valuing our equity stake in Cali Interactive, which we think is very significant. Finally, moving to Slide 13 and the outlook. We have seen a solid start to H2 with normal seasonality. Our strong performance in H1 gives us confidence that we'll deliver 2024 adjusted EBITDA ahead of expectations prior to the trading statement issued a couple of weeks ago. We are firmly on course to meet our medium-term adjusted EBITDA target of EUR200 million to EUR250 million by the end of 2024. We initially set the target as a three to five year medium-term target at our 2022 full year results and now expect to hit it within two years. I will flag, however, that 2025 will be impacted by the revised Caliplay agreement, as I discussed earlier, and we will revisit our medium-term targets at the full year results. From a balance sheet perspective, we are in a very strong position. The funds due to be received from the sale of Snaitech as well as the payment of the previously outstanding fees by Caliplay will allow us to repay the EUR350 million March 2026 bond as well as fund both organic and inorganic growth opportunities at the same time. Considering our strong financial performance and healthy balance sheet, the Board is confident in Playtech's prospects for 2024 and beyond. I will now hand back to Mor to update you on our strategic priorities.
Moran Weizer: Thanks, Chris. Moving on to Slide 15. Here, I would like to provide an update on our progress against our 2024 priorities outlined during the 2023 full year results. Starting with Caliplay. As mentioned earlier, we are pleased to resolve the situation and enter into the new and exciting chapter of our partnership. I'll talk more about this later on. Moving to our second priority, the execution and delivery of the US strategy. We've continued to sign up the biggest operators in the US, including DraftKings and PENN Interactive whilst also securing a new platform deal with Ocean Casino Resorts. We are also delivering growth with revenue in the US up over 200% in H1. Turning to Brazil, which in my opinion is one of the most exciting and rapidly growing markets in the world as it is set to launch under the new regulation in early 2025. Aside from working closely with Galera.bet, who applied for a local license, we are also well positioned with multiple B2B licensees that are expected to successfully obtain a Brazilian B2C operator license. Finally, on the Live segment, where we aim to differentiate by delivering the most innovative gambling experience. In H1 2024, we announced a partnership with MGM Resorts International to launch Live Casino content streamed directly from the gaming floors of the Bellagio and MGM Grand. We have also gone live with DraftKings in multiple states, a relationship that we are hoping to expand on. Turning to Slide 16. Here, we look in detail at the amount of value that has been created with the Snaitech acquisition and subsequent disposal six years later. Back in 2018, we acquired Snaitech for EUR846 million at an EBITDA multiple of 6.1 times. The asset benefited from strong brand equity and derived nearly 80% of its EBITDA from the retail segment, largely a reflection of the underpenetrated online channel in Italy, which stood at less than 10%. The investment thesis revolved around utilizing Snai's strong brand and Playtech's expertise in online to benefit from the predicted increase in online penetration. Over the course of the last six years, the thesis has broadly played out. Today, Snaitech looks a different business. Based on 2023, the last full year of financials, Snaitech's profits have nearly doubled and the online segment now constitutes close to 50% of the adjusted EBITDA. More importantly, the shift to online drove the expansion of Snaitech's EBITDA margin from 16% to 27% creating a higher quality and less capital-intensive business that delivers a higher return on capital employed. And the increase in quality of the Snaitech asset is reflected in the price that Flutter was willing to pay. The total consideration of EUR2.3 billion implies an exit EV to EBITDA multiple of nine times, slightly ahead of other recent deals in Italy. The vast majority of the proceeds will be paid out to shareholders, ensuring they are crystallizing the value that has been created. One other thing to point out is that on top of the EUR2.3 billion sale price, Snaitech has also generated a sizable amount of cash since acquisition, amounting to over EUR800 million. So in the end, we have delivered multiple expansion and a near doubling of EBITDA with the majority of proceeds returned as cash to shareholders. And while we are on the topic of Italy, it would be remiss of me not to mention Emilio Petrone, the former CEO of Sisal, who tragically died a couple of weeks ago. We knew each other for many years and I always held him in the highest regard as one of the true professionals in the industry and in Italy in particularly. He will be missed dearly. Turning to Slide 17. The sale of Snaitech essentially leaves us as a pure-play B2B gambling business. Here, I want to remind you all about how Playtech as a B2B business creates value. As a leading technology provider to the gambling industry, we are partnering with virtually all of the most prominent and ambitious brands in the industry alongside midsize and smaller operators, which aspire to rapidly grow in selected markets. Over multiple years, we have established successful partnerships with major multinational operators like Flutter, Entain, bet365 and Betano. In addition, we have expanded our network to include renowned brands such as MGM and Hard Rock Digital as well as emerging local heroes like Caliplay and Wplay. We invest heavily to provide these hugely attractive brands with our market-leading innovative content across a range of verticals, including casino and live casino. And we are exposed to the fastest-growing regulated or soon to be regulated markets, such as the US and Brazil. And we can offer a range of innovative business models to ensure we are able to extract the appropriate level of value for the software and services we provide, whether that be via a SaaS model that helps us to address the long tail of providers not using us for the PAM through to strategic agreements where there is a much more comprehensive relationship. The previous slide talked about how we create value within B2B. Slide 18 paints a picture about how much value resides within the group going forward. In the Americas, we have multiple equity stakes in high-quality assets in attractive countries. Let's start with our most successful structured agreement to date, Caliplay. In the last decade, Playtech has worked closely with Caliplay, the online division of Caliente to significantly expand the business growing annual revenue to more than EUR700 million in 2023 and operating profit of EUR223 million with 2024 expected to see further underlying growth. The Mexico market has been growing rapidly and Caliplay holds a very significant market share. The 30.8% equity stake in Caliplay under the revised agreement is hugely valuable in our view. Our other structured agreements are at a much earlier stage than Caliplay, yet some of these agreements have huge potential to generate value for Playtech shareholders. In the US our low-single-digit equity stake in Hard Rock Digital gives us valuable exposure to the rapidly growing business, which in our opinion possesses all the necessary characteristics to become over time a significant contributor to Playtech. The combination of an iconic brand and unique leadership position in the online sports betting market in Florida, should support the successful expansion of Hard Rock Digital across both domestic and international markets. In Colombia, we hold a nil cost option on 49% equity in a leading online gaming operator Wplay. In 2023, Playtech for the first time, received an additional services fee, reflecting the transition to profitability. In Brazil, we also hold a nil cost option on 40% of the equity in Galera.bet. As the hugely attractive Brazilian market opens up in early 2025, we expect those B2C companies that have initially been granted a license to operate will be in an advantageous position to take market share in what could potentially become one of the largest gambling markets in the world. In addition to our structured agreements in the Americas, our B2B portfolio includes the attractive live casino product vertical, which already generates more than EUR150 million in revenues with adjusted EBITDA margins more than 35%, including the loss-making US business, where we have invested heavily on new studios ahead of expected demand over the coming years. The final asset I'd like to pick out is our 49% equity stake in LSports, which we haven't mentioned before, but we think is extremely promising. LSports is a real-time sports betting data provider, covering over 100 sports with some of the lowest latency rates in the market. The business is growing rapidly is profitable and is paying out cash dividends with EUR1.8 million received in 2023. On to Slide 19 and looking a bit more closely at the B2B strategy. Here, we outlined the progress that has been made during H1 2024 against our strategic priorities. Firstly, on aiming to be the partner of choice for newly regulating markets. Over the last six months, we have continued to make good progress in building on our existing partnerships and signing new agreements. As I'll go into more detail in a couple of slides, we are pleased to reach a revised agreement with Caliplay making an exciting new chapter for both parties. Elsewhere our strategic agreements with other operators in Latin America and North America such as Galera.bet and Wplay continue to perform well as we benefit from structural tailwinds in these newly regulated markets. The signing of a new strategic partnership with MGM Resorts was a huge moment for Playtech. This partnership demonstrates the attractiveness of Playtech's technology to global brands and our ability to bring market innovative and more entertaining concepts. Looking at our second strategic priority of capitalizing on Live and SaaS opportunities, I'm pleased to report an excellent performance in the first six months of 2024. With the attractive Live segment where we focus on regulated markets, we saw strong revenue growth of 17% in H1. The demand for our innovative live offering continues to accelerate and we are planning to expand capacity in each of our three US Live Studios by the end of the year. In SaaS, our impressive growth continues as revenues increased by more than 40% in H1 2024. With more than 500 brands on our platform, we are ahead of schedule to hit the medium-term revenue target range by the end of 2024 well ahead of the original plan. Finally, our third strategic objective of looking to align resources to reflect B2B growth areas has become even more essential given the sale of Snaitech leaves us as a B2B company. There has been some progress made around tighter cost control and that is reflected in the EBITDA margin expansion of 510 basis points we saw in H1. However, more work needs to be done to ensure there is a healthy balance between having a cost base that is appropriate for the B2B business and sufficient investment in the areas we deem strategic. Post the sale of Snaitech, our balance sheet will be strong with a net cash position and we will be active on the M&A front to ensure appropriate exposure to attractive segments both regionally and within product verticals. However, given the smaller size of the company, it is increasingly important that we remain disciplined in our criteria and approach. On to Slide 20. This slide is familiar to you as we have presented it a couple of times before, but this time, we went one step further by highlighting the relative size of each market based on the online GGR estimates for 2024. And as you can see, there is a healthy balance between more mature markets such as the UK and Italy and countries that are early in their regulatory cycle and thus set to deliver faster growth. This balance is very important for the following reasons. Firstly, more mature markets are highly cash generative, and this cash can be used to invest into more nascent, faster-growing markets to secure advantageous position as these markets move towards regulating. Secondly, the relationships with operators in established markets such as the UK can then be leveraged as these operators expand into other faster-growing countries providing Playtech with an opportunity to increase its wallet share with these partners. Two countries that illustrate these nascent, fast-growing markets that we are excited about and are well positioned in our South Africa and Peru. South Africa is expected to grow 24% on a compound annual basis over the next three years while Peru is set to regulate at the end of 2024 and is expected to grow 16% on a compound basis over the next three years. Turning to Slide 21, where we will look in more detail at our revised strategic agreement with Caliplay. Chris took you through the financial impact of the agreement, whereas I will focus on the strategic implications of the revised deal. Caliplay is a highly valued partner. And together, we have built an extraordinary business in Mexico that has grown from less than EUR10 million of revenue in 2014 to more than EUR700 million in 2023. The 30.8% direct equity holding we have in a US company is a much cleaner structure than the previous one, which had various options in place. Our commercial agreement is also revised and now offers more flexible terms to Caliplay with regards to exclusivity commitments for our products, particularly for sports. While Caliplay has benefited significantly from the growth in the online market in Mexico, we think there is still ample room for future growth in this market and given their positioning in the market, Caliplay is best placed to benefit from this. We also foresee significant opportunity in international expansion for Caliplay. Considering Caliplay's strong brand recognition and the substantially Hispanic population in neighboring countries, the business is well positioned for strategic expansion in the Americas. On to Slide 22. Here, we look in more detail at the US, a market with significant opportunity for Playtech. Our journey in the US started in 2019 and over the past four years, we have focused on establishing a presence and laying the foundations for growth as part of our market entry strategy. We are now beginning the execution and delivery phase. Looking at our performance in the first half of 2024, we delivered an impressive triple-digit percentage revenue growth driven by strong demand from existing clients and new launches. We have now signed and launched with 12 operators in the US including most of the major Tier 1 operators. We are also making good progress in rolling out our suite of innovative content with our games being recognized for their success in the industry. The progress in the US is supported by our significant investments into infrastructure and technology. At present, we have over 270 employees in the US and three Live Studios. However, considering the expected increase in demand for our live offering, we are planning to increase head count to more than 500 people as we ramp up capacity. Moving on to Slide 23, where we outlined the performance of the Live segment. The Live business has continued to make good progress in the first half of the year with revenues in regulated markets where we are focusing our efforts up 17%. We have continued to sign and launch with new operators in multiple regions. We launched with Rush Street Interactive in both Michigan and Pennsylvania whilst helping PENN Interactive to launch Live Casino in Michigan and Pennsylvania. We have also gone live with DraftKings in multiple states. Given the strong demand we are seeing in the market, we have continued to invest in the business and expand capacity, taking the number of tables to over 400 across a number of locations at the end of H1. Our capacity expansion efforts will continue in the second half of 2024 with a number of tables in each of our three studios in the US to increase to meet demand. Our most notable milestone in H1 was the signing of a partnership with MGM Resorts International to stream Live Casino content directly from the gaming floors of the iconic Las Vegas Strip properties, Bellagio and MGM Grand to be made available to players in regulated markets throughout the world outside the United States. On to Slide 24. As you can see, we continue to make progress against all four of our sustainability priorities. We are well positioned to meet increasing demand for safer gambling technology and services in both mature and growth markets. We are now providing Playtech Protect our technology and services offering to licensees in 11 jurisdictions across North America, Latin America and Europe. We have also enhanced our capabilities to track and evaluate responsible gambling interactions with at-risk players and have expanded our responsible gambling advisory and managed services to meet growing industry demand. In H1, we also continued to expand our responsible gambling partnerships in the US. I'm particularly delighted to mention a new collaboration with the University of Nevada Las Vegas International Gaming Institute, which will include a focus on how best to further utilize technology to further strengthen player protection measures and create a more sustainable gambling environment. I look forward to sharing more details on our progress against our 2025 commitments during our full year 2024 results. Finally, Slide 25. In summary, we have delivered a strong performance in the first half. We are executing our strategy to grow and improve the B2B business and we are encouraged by the broad-based growth we have seen across our key markets and verticals. We are delighted to have agreed the revised strategic agreement with Caliplay in Mexico. This maintains our presence in a strategic market and ensures we will continue to benefit from the rapid growth we continue to see there. Taken together with the progress we are making with our other partners, we are confident that we will meet our medium-term adjusted EBITDA target range for B2B this year earlier than expected. The sale of Snaitech is a major milestone. It will generate significant value for shareholders and fundamentally reshape our business with a return to our roots as a pure-play B2B operator. Our strategic agreements and technology leadership mean we are well positioned to drive growth in the coming years. Our people remain as hungry as ever and I have every faith that together we can make the most of the exciting opportunities ahead. Thank you all for listening. Chris and I will be more than happy to take any questions you may have.
A - Sandeep Gandhi: So we'll first take questions from inside the room. And then once those are exhausted, we'll then move to the conference line and take questions there.
Roberta Ciaccia: Thank you. Good morning. It's Roberta Ciaccia for Investec. I have two questions for now. First of all, on the Americas. It's clearly a big area of growth, given also the investment you're putting into new people by the end of this year. I was wondering if there's an idea of when you think that region will be profitable, would generate EBITDA? That would be the first question. The second question is on Hard Rock Digital. Is there any idea of the road map outside of Florida or something you can share with us in terms of what are the next regions in the US and outside that they're targeting and the time line for that? That's it for now. Thank you.
Chris McGinnis: Well, I'll take the first one on the US and Mor can take the second. On US, the EBITDA, as you said, it's a loss-making business as it's an investment phase, still relatively early there. For context, it's a negative into teens and the better part of the EUR20 million negative EBITDA currently as our investment. In terms of profitability, it's a few years away, but I think that's a good thing because actually, we're getting more and more momentum there, which requires more investment. So as you can see with the targets we put in this presentation around the number of employees, most of those are live dealers because we're expanding all three of our Live Casino facilities and I would say expanding quite aggressively actually because of the demand that's coming in, in the US. So that's probably delayed profitability somewhat. I don't necessarily think the losses will expand from where they are. But we're going to get that balance right because we're more excited than ever about the US opportunity. But I wouldn't say that profitability is imminent.
Moran Weizer: Yes. On Hard Rock Digital, I think, we all need to acknowledge the fact that they only just launched towards the end of last year, beginning of this year, and obviously Florida, they hold their prime position and therefore this is a key core market for them that they will focus on. And there are massive investments going into this market to build the business there and create the brand recognition even though this their brand is obviously very well recognized there and is the most popular in Florida. Having said that, I think that certain steps they have taken, they are established, them establishing themselves in different other states across the US, including New Jersey and others and the fact that it was announced that or it was mentioned that they acquired certain assets from another group to allow them a market entry into one of the other gaming states is a real indication, is a good indication of where they are headed. So I think that the focus will remain, so the question for us actually, but from conversations we had with them, it only makes sense for them to push as hard as possible and focus on Florida and obviously build their presence alongside it throughout the coming years in different other states outside of Florida as well as outside of the US, which is something that they do consider actively pursue and consider. So obviously, as I said, over time, we believe that they have all the characteristics to become one of a very significant contributor to Playtech from a B2B perspective.
Ivor Jones: Good morning. Ivor Jones from Peel Hunt. Could we bring up, if possible, Slide 12, again, because that went a bit quickly for me and there are a couple of things I'd like to just make sure I understand. I sort of understand why you've done it, but there's a mixture, okay, yes. Okay, yes. There's a mixture in there of income statement items and cash flow items there. You're including in that 31 in the right-hand column, a fraction of the EUR140 million that are going to be paid and then stop being paid, is that right?
Chris McGinnis: Yes, it's an annual impact. So you see the first two columns saying accounting. So as you said, Ivor, those are the P&L impact. Then the next two are the cash. And all of it is using 2023, given it was the last full year. So the, yes, the 31 is an annual amount estimated for the four years, but not continuing.
Ivor Jones: But not continuing, okay. And then the share of income from associates for that to be cash, you must be assuming that the profit turns to dividends.
Chris McGinnis: Correct. If you take the dividend payout ratio, which you can calculate basically, there's some degree of subjectivity to that, but that's an assumption we've used based on our understanding and in terms of how Caliplay are thinking about things going forward.
Ivor Jones: Is that is the payment of a dividend up from the Mexican business to the US company part of the American agreement?
Chris McGinnis: It's a part of the American agreement. Dividends will be received by us from the American company.
Ivor Jones: But for that to happen, dividends have to flow up from Mexico to the US and these people have shown themselves to be quite energetic negotiators.
Chris McGinnis: Yeah, that's correct.
Ivor Jones: So what stops the cash getting trapped in Mexico?
Moran Weizer: It's a fair assumption.
Chris McGinnis: Sorry, you're worried about the cash being trapped in Mexico?
Ivor Jones: Yes or distributed in Mexico and not getting up to the topco?
Chris McGinnis: No, we've put a structure in place that we're together with them that we're confident that dividends will be paid and will be received.
Moran Weizer: Let's put it this way, right. The original Roberta assumption that it could have been announced in June would have happened unless we would have invested so heavily into the structure to ensure that it's intact and will ensure that actually cash flow will remain, will not be trapped, will be distributed to the American company and then paid to all shareholders, which is extremely, and you can imagine that it's extremely important for all shareholders involved, not just Playtech.
Ivor Jones: Okay.
Moran Weizer: If I may just on this, if you, just to what you should take away from this, right. We gave them flexibility to be replaced by EUR140 million that is spread across the following four years. As the business will grow, we believe that we will be able, over the course of the next four years, compensate for the loss of the 1/4 of the EUR140 million, right, against the flexibility we give them because the flexibility should accelerate the revenue growth that should, in turn, generate revenues for us. And if you think about the impact on cash that Chris referred to, and you think about the level of dividend and you apply the taxes, right, the majority of the cash impact on Playtech is given the change from general service fees to dividends, which obviously involve a new structure that involves the taxes in the US, and therefore, there is a cash impact. However, against that, obviously, having 30.8% equity in a US company in preparation for expansion beyond Mexico as well as the continued rapid growth we see in Mexico, we believe will create value to Playtech and its shareholders. That's the way we thought about it when we negotiated this new agreement.
Ivor Jones: Okay. So if you're expanding on Caliente, is the growth that you expect that recovers the EUR140 million coming from recovering the market share that Caliente has lost over the last couple of years? This is about market share recovery.
Moran Weizer: No, I don't think that it's about market share. The overall market grew and obviously they grew faster than anyone else in Mexico. We believe that they will continue to grow. By the way, competitors coming into the market, growing the overall market, right. And even if the market share does change slightly, right, given it's on the back of more money coming into Mexico, more money invested into marketing in Mexico, which helps and supports the growth of Caliente, given the popularity of the brand because it educates the potential customers who then become customers, who then want to associate themselves and sign up and transact with Caliplay. We believe that there is strong momentary, strong momentum as we indicated throughout the entire period of negotiations. The business remained intact operationally. It continued to perform strongly. We expect that this will continue in the coming years. We expect that Mexico will continue as a country to grow and show significant growth in the game -- across the gambling industry. And alongside that we believe that now we have the right structure to allow Caliplay to extend beyond Mexico and further accelerate the growth of revenues and profits over time within Caliplay, whether it is certain parts of Latin America and potentially even the US. We refer to the Americas in my presentation.
Ivor Jones: That's helpful. Thank you. And a couple of detailed things. How much of Live is in Asia, is in unregulated Asia? I assume some of it is in Brazil.
Chris McGinnis: Brazil is a bigger live market than Asia is for Live. Asia Live is relatively small to be honest.
Moran Weizer: Yes. Today, Asia Live is very, very small for us.
Ivor Jones: And a small EBITDA contributor as well.
Moran Weizer: Yes. Brazil, on the other hand is obviously a different story, right. Brazil is very big and we expect it to not only remain big for us, but even be bigger over time once regulations will come into effect. The operators that we work today with just to put it into perspective. Today, in Brazil, there are 2,000 sites, more than 2,000 sites. You can't even count that, right. But the people that I talk to in Brazil and I travel quite often to Brazil and we have a partner that we have a strong relationship with. And the assessment made by the government indicates more than 2,000 sites at least, right. There were approximately 110 applicants for a license. Now we don't know how many of those will receive. But assuming half of that or 60 or 70 applicants that will obtain a license for a market that is already estimated between $10 billion and $15 billion market is a massive, massive opportunity for those suppliers that will be involved in those operators first and foremost, the operators that will be able to obtain a license, right. We are established with our partners Galera.bet that we believe will be able to obtain a license as well as other companies like Betano and bet365 that we also believe will be able to obtain a license. And therefore you can see how Playtech will continue to provide software and services to various operators that will hold the license and the number of operators will move from 2,000 to less than 100 almost by definition because there are 110 applicants. Now you -- one other thing you need to be -- to remember or know and then remember about the Brazilian market. The Brazilian market is such that from a payment processing perspective, it is one of the most developed countries worldwide today in the digital space, right. You have a payment method called Pix that is a government-owned entity or a government-owned payment method that 100% of the Brazilians use. You do that through the phone. You have people begging for money in the streets. They will have a QR code and say here is my Pix number. You don't need to give me cash. Just here is my Pix number, put the Pix number and give me $1 or $0.5. And given the fact that it's government-owned, the government for the first time has the ability to block unlicensed illegal operators, unlicensed and therefore illegal operators. And this is why we are so excited with Brazil. The size of the country, the size of the activity, the size of the market going forward, the number of licenses and our position there today, we have been investing for the last almost four years into Brazil, we established ourselves there. We further established, we intend to further establish ourselves there. And we believe that it's one of the most exciting opportunities, not only for Playtech, but for other suppliers. And obviously the operators that will be able to obtain a license.
Ivor Jones: Thank you. And last thing, you've talked about strategy. You haven't talked about the impact on strategy of the new incentive plan, which gives management different incentives from the existing incentive plan. So how do you expect that to affect strategy in terms of focusing on the short-term delivery on cash, paying out dividends relative to some of the long-term projects? What's the point of the incentive plan strategically?
Moran Weizer: The point of the incentive plan in general, I won't get into the incentive plan. I will explain in a second why. But the point of the incentive plan was to align the management with a shareholder, to align the management with shareholders to create value, and we take a longer-term view. And it is not short-term and it's not about the cash. It's simply aligning and basically incentivizing the management team to create. There is a lot of work to be done, right. People asked me the night of the announcement of Snai, on Monday, we announced Caliplay. On Tuesday, we announced Snaitech, right. In the afternoon, I had a SMS from a close friend of mine, a Playtech employee, who is one of my closest friends, and he basically asked, so how do you celebrate, do you go out to celebrate? And I said, no, I'm going out for dinner because tomorrow a group from Spain is coming into London because we need to prepare and because we want to expand with them into different territories in Latin America, including Brazil by the way. So we remain very hungry. It's not about short-term, it's about value and value creation for shareholders. And it's aligning and incentivizing and aligning management with the shareholders of Playtech. Obviously, I won't get, I won't say more because we need to finalize the plan. And obviously, it will be voted on, and it will be included in the circular that we will send to shareholders as we indicated in the announcement, then obviously, we can also discuss the details and I will be able to reiterate the fact that this is long-term, this is -- this secures the management of Playtech. This creates stability. This creates incentive to grow the business and create value for the benefit of our shareholders.
Ivor Jones: Can I just sum it up then? You're saying that the incentive plan is going to be different, but the strategy is not going to be different as a result.
Moran Weizer: The strategy is not going to change, right. The incentive plan should support the execution of the strategy and creating value as part of which the intention and the goal and the purpose of the management of Playtech and the Board to create value for shareholders. That's the sole purpose.
Ivor Jones: Thank you.
Sandeep Gandhi: So if there are no more questions from the room, should we go to the conference line and take questions from there.
Operator: Thank you. [Operator Instructions] And our first question today is from the line of Ed Young of Morgan Stanley. Please go ahead. Your line is open.
Edward Young: Good morning. Hopefully the line is clear enough. My first question is on Caliente. Part of the presentation you put together today sort of showed the different assets within B2B. And you clearly feel very strongly about the significant value that lots of those have. Is there any ambition or is it plausible for Caliente itself to or Caliplay itself to list at some stage to show the value in that business? My second question is on Florida changes. You talked very clearly about Florida being the focus. What would you put the potential prospects for iGaming liberalization in Florida? And then part two of that is, how do you think about the opportunities and risks of the [indiscernible] perhaps subcontracting to other major operators within the Florida market. And then finally on Galera.bet, I appreciate you were talking about broad coverage in Brazil. So your Brazil strategy is not just focused on that one structured agreement. But could you perhaps help us understand what the differentiated assets are within Galera.bet and particularly does it that have sufficient balance sheet to compete with some of the significant spend others are looking at? So is there an argument for you to put additional equity injection into the business to help with that. Thanks.
Chris McGinnis: Do you want me to take the first one on Caliplay and then maybe other two are for you today.
Moran Weizer: The difficult ones, Chris?
Chris McGinnis: Exactly. On Caliplay, ultimately, a listing is their decision more than ours. I think, obviously, we'd be part of any discussion. I think it was -- it's been well publicized that a couple of years ago, they were pursuing a listing in the US through a SPAC vehicle, which we were deeply involved in those conversations. But I don't think, again, without putting words in their mouth, I don't think the listing was a goal in and of itself. It was more to facilitate entry into the US market and perhaps other markets as well. I think as we sit here now, again, it's a question for them, probably more than us, but obviously, we'll be a party of that. But I think the new structure in place with this US holding company that we've talked about today and it was in our announcement two weeks ago, I think, accomplishes some of the goals that they want in terms of giving them a structure in place to allow them to enter the US and other markets and whether they and their other shareholders, including us, think a US listing or listing anywhere in fact makes sense in the future. That's to be determined, but I don't think it's a goal necessarily in and of itself. But regardless I think as the presentation shows we're very excited and I think we have an incredibly valuable asset in our hands.
Moran Weizer: Yes, absolutely. And I will obviously remind everyone that they did consider once, right, during the SPAC days in 2021. Not that it should indicate anything other than the fact that they're open to ideas. And at some point, they will have to consider it, and in the meantime, create the optionality and flexibility, now they have left the flexibility. They will continue to develop the optionality and then determine. On Florida, obviously, I think that it's too early to refer to regulations of iGaming in Florida. I think that the focus of Hard Rock currently is on sports betting and we are very, very proud to be a partner of Hard Rock. I do believe that when it happens then obviously we have, we secured the best partner for iGaming in Florida by definition. And therefore this is a massive opportunity for us. When exactly it will happen. It is hard to say and I can't really tell at this point in time. On Galera, we believe that the opportunity, as I mentioned, there are more than 2,000 sites. It will be brought down to less than 100 operators. We are already established with many of them. A lot of the other operators, a lot of the other databases generated by the operator, by the other operators that will not be licensed, we look for a new home. And therefore we believe that there is a massive opportunity for Galera.bet as well as the other operators, those that will obtain a license. And we believe that, therefore, there is -- this presents a significant opportunity for Playtech, given the structure agreement that it has in place with Galera. Also we have been focused on this market, leveraging our capabilities and services that we provided to Galera.bet in support of their operations in Brazil. We have certain marketing initiatives and approaches that are somewhat different to the larger operators in the market such as bet365 and Betano and Pixbet and various others that sponsored big football clubs. Yes, in the beginning, we did associate Galera.bet and sponsored one of the football clubs actually one of the two largest football clubs, Corinthians. We build the brand recognition, but when it became very expensive, we decided to focus elsewhere. And we believe that we have the strategy, the right strategy in order to succeed and in order to benefit from the fact that there will only be a selected few compared to the situation today. The selected few that will obtain a license. We will not necessarily pull or not us, but Galera.bet will not necessarily simply invest tens or hundreds of millions into the market. Their approach is somewhat different and it's more targeted on specific marketing channels by the way that are very different to what you find outside of Brazil, but they, we gained access into people and teams that are -- that specializes the teams that specialize in that. And this is why we believe that actually Brazil is exciting for us. And I don't believe that you will see hundreds of millions from Playtech going into Brazil in terms of marketing investments. The idea will be to create a self-sustained business over a very short period of time. Yes, there may be a little bit of investment in the beginning of 2025 or throughout 2025. But soon after that, we believe that we will have a self-sustained business that we'll be able to fund its operations and marketing from its own cash resources. And this is the intention. This is the goal. Between the brands, Galera.bet already is close to $100 million in revenues. So it's not an insignificant business in itself. Some of the brands associated with Galera.bet group has not even migrated to Playtech. So don't immediately calculate the 100 million and then apply the percentage rates we charge. It will come in 2025 and beyond. But obviously we build the business. Remember, we established ourselves with Caliplay in 2014. It generated less than EUR10 million. Between 2014 and 2018, it was a small to midsized business and it erupted all in 2018 on the back of the World Cup and from there all the rest is history. So we invested four years into Galera.bet. We believe that next year is an extremely important year for us. By the way, we will test it. But there are indications that the government will block those that did not apply for license from later this year, not even the beginning of '25, which will be a good indication. If this happens and the licenses will be granted on time in the beginning of 2025. And there will be only or less than 100 operators licensed in Brazil. I don't think I think that it's very, very different to what you find elsewhere including the US.
Edward Young: Thank you.
Operator: [Operator Instructions] We have no further questions on the line at this time.
Sandeep Gandhi: Are there any more questions in the room? No. I think that's, yes, it's a wrap. So I'd just like to thank you all for attending. And, yes, look forward to seeing you all soon.
Moran Weizer: Thank you.
Chris McGinnis: Thank you.